Mike Henry: I'm Mike Henry, BHP's CEO. On behalf of the team here at BHP, I want to provide you with some of the key points from the half year just passed. Our operational and financial results were steady and reliable. However, I am deeply saddened to report that in the brief period since, one of our team members, Jody Byrne, lost his life in an accident in our rail operations at Port Hedland. My deepest sympathies go out to his family, friends and colleagues. We're supporting them any way we can. Safety is our #1 priority. Nothing matters more. We have been intensely focused on eliminating fatalities from BHP. But it's this terrible incident so tragically reminds us, safety requires constant vigilance, and we are redoubling our efforts. We will not rest in our efforts to ensure that no one gets harmed at BHP. As I noted, results for the half year were steady and reliable. We navigated a number of challenges to deliver reliable and, in some cases, record production. This means we've been able to announce a dividend of USD 0.90 per share, one of our highest ever. The highlights from the half include another production record at our Iron Ore business in Western Australia, growth in production at our Escondida copper mine in Chile and another stable half from our Olympic Dam line in South Australia.
David Lamont: As Mike said, we've delivered another steady and reliable set of results despite lower prices and other external pressures. Our margin at 54% remains strong and helped enable underlying attributable profit of $6.6 billion, one of our top half year results. This incorporated an effective tax rate, including royalties, of 40%.
Mike Henry: This operational performance was supported by our commitment to building capability, strengthening relationships and ensuring that we are enhancing value for all our stakeholders. During the half, we achieved an uplift in the proportion of employees who are female to more than 33%, a doubling of spend with indigenous own suppliers and continued strong progress towards meeting greenhouse gas emissions reduction targets for our operations. The metals and minerals that BHP produces are critical to the world and the future. To continue to prosper and to achieve the energy transition, the world is going to need more copper and nickel for electric vehicles, solar panels and broader electrification. It will also need more iron ore and more of the highest-quality metallurgical coals to make the steel needed for urbanization and decarbonization infrastructure. And we'll need more potash to support more sustainable farming. We will help the world meet its needs for these metals and minerals through getting more out of our existing assets through innovation, through exploration and investments in early-stage opportunities and also through acquisitions, but only where we believe we can create more value for shareholders, such as the proposed Oz Minerals acquisition. With the quality of our assets, the way we manage them as well as our approach to creating value for everyone around us, BHP is well positioned to provide the world the essential commodities it needs well into the future.